Operator: Ladies and gentlemen, thank you for standing by, and welcome to the American Axle & Manufacturing First Quarter Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. Thank you. I would now like to turn the call over to Christopher Son, Director of Investor Relations, Corporate Communications and Marketing. Please go ahead.
Christopher M. Son - Director Investor Relations, Corporate Communications & Marketing: Thank you, Victoria, and good morning to everyone on the call. I would like welcome everyone who is joining us on our first quarter 2015 earnings conference call. Earlier this morning, we released our first quarter 2015 earnings announcement. You can access this announcement on the aam.com website or through the PR Newswire services. To listen to a replay of this call, you can dial 1-855-859-2056, using the reservation number 34605208. This replay will be available beginning at 2:00 p.m. today through 5:00 p.m. Eastern Time on May 8. Before we begin, I would like to remind everyone that the matters discussed in this call may contain comments and forward-looking statements that are subject to risks and uncertainties, which cannot be predicted or quantified and which may cause future activity and results of operations to differ materially from those discussed. For additional information, we ask that you refer to our filings with the Securities and Exchange Commission. Also during this call, we may refer to certain non-GAAP financial measures. Information regarding these non-GAAP measures as well as a reconciliation of these non-GAAP measures to GAAP financial information is also available on our website. During the quarter, we expect to participate in the following conferences: the KeyBanc 2015 Automotive and Industrial Conference in Boston on May 27; the Deutsche Bank Industrial Conference in Chicago on June 3; and the Barclays 2015 High Yield and Syndicated Loan Conference in Colorado Springs on June 11. In addition, we are always happy to host visitors at any of our facilities. Please feel free to contact Vitalie Stelea to schedule a visit. With that, let me turn things over to AAM's Chairman, President and CEO, David Dauch.
David C. Dauch - Chairman, President & Chief Executive Officer: Okay. Thank you, Chris, and good morning, everyone. Thanks for joining us today as we cover our financial results for the first quarter of 2015. Joining me on the call today is Mike Simonte, our Executive Vice President and Chief Financial Officer. To begin my comments today, I'll first provide some highlights of our first quarter performance. I'll also update you on some recent business developments before turning things over to Mike. And after that, as always, we'll open it up for a Q&A session. So AAM is off to a great start here in 2015 with increased North American production volumes and improved operating efficiencies driving significant sales growth and margin expansion for AAM. Let me briefly discuss some of the first quarter financial highlights. First, our sales continue to grow twice as fast as the industry in the first quarter of 2015. For the quarter, AAM sales were approximately $969.1 million, up more than $110 million as compared to the first quarter of 2014. AAM's year-over-year sales growth of 13% compares to a U.S. SAAR growth of approximately 6% and a North American light vehicle production growth of approximately 2%. So our leverage in the light truck segment in the U.S. is a major sales growth driver for us right now. AAM's growing exposure to the China market as well as our new European business launching in our Swidnica, Poland facility is also powering AAM's sales here in 2015. Second, our non-GM sales increased $41 million or more than 14% on a year-over-year basis to a new quarterly record of approximately $329 million. Including the impact of our Hefei, China joint venture, AAM's non-GM sales were approximately 37% of our total sales in the quarter. In 2015, AAM's non-GM sales will grow faster than AAM's total sales as a result of new business launching with Ford, Jaguar Land Rover, Jeep, Mercedes and Nissan, just to name a few. We're very proud to be on these premium brands. Third, all key financial measures of operating profitability, including gross margin, operating margin, EBIT margin and EBITDA margin, expanded by more than 100 basis points on a year-over-year basis. Gross profit increased by approximately $31 million to $153 million in the first quarter of 2015. Our gross margin was 15.8%. Our operating income increased by approximately 30% to $84 million, and our operating margin was 8.7%. Our EBITDA increased $25 million or 22% to $137.5 million in the first quarter of 2015. Our EBITDA margin was 14.2% of sales. EBITDA increased approximately $22 million to $87.5 million, and our EBITDA margin – or EBIT margin was 9% of sales. Fourth, AAM's net income in the first quarter of 2015 was $53.2 million or $0.68 per share. Our net income and our EPS were both improved by more than 50% on a year-over-year basis. And finally, key performance measures and balance sheet strength and credit protection continued to improve in the first quarter of 2015. On a trailing 12-month basis through March 31, 2015 AAM's positive free cash flow was over $180 million. Our EBITDA leverage was 2.5 times at the end of the quarter, and our EBIT coverage improved to 3.4 times. All in all, we are very pleased to report such a strong start to the year. Mike will cover more details of our first quarter 2015 financial results later on this call, so let me now shift gears and cover some business highlights for the quarter. From an operational perspective, AAM is reaping the benefits of our focused improvement initiatives. Our major North American driveline assembly operations in Three Rivers, Michigan and Guanajuato, Mexico, are running very well, achieving their daily production requirements on time every time, and doing it in a very stable, efficient and high quality manner. These operations are benefiting greatly from investments we made in recent years to expand capacity to align with both our customer requirements as well as the market requirements. We have also placed additional emphasis on training instruction workshops to expand the reach of our AAM operating system and to promote the lean principles in our manufacturing facilities and administrative functions, again to eliminate waste. We are also starting to see the return on investments to upgrade our AAM Oracle enterprise resource planning systems and implement some other information technology tools. These investments and a focus on continuous improvement had made a big difference in AAM's daily operating performance and our financial results. In 2015, AAM is focused on (7:31) launching and supporting 18 major new product programs, including opportunities with Jaguar Land Rover, where we will be delivering both front and rear axles for global passenger car program which we are presently in launch on. In our Rayong, Thailand manufacturing facility, we'll watch AAM's first ever major driveline program with Ford in support of a global rear-wheel drive SUV program. And for the refresh of the Nissan Titan light duty truck program here in North America, we will be providing some of our latest state-of-the-art high efficiency front-end rear axles for the truck application. And for Mercedes, we're supporting both the next generation C-Class and E-Class vehicles to China, and we'll expand our supplier relationship with Mercedes to now also include rear axles or IRDAs for multiple SUV variances for Mercedes in China. And finally, for FCA, we will provide PTUs and RDUs for our third EcoTrac derivative, this time for the China market. These new programs are indicative of our efforts to successfully achieve significant business diversification gains in terms of customer, product and geography. The most important business focus for AAM, however, is the continued advancement of our technology leadership position, which will continue to drive our global performance in the industry. As all of you know, the global automotive industry is facing unprecedented challenges in response to market and regulatory demands, for increased fuel efficiency, reduced emissions and improved safety ride and handling performance. And brutal competition is driving OEMs to focus on technology innovations to help differentiate their products in a crowded automotive landscape. To respond to these challenges and changing market dynamics, we have been heavily investing in the areas of efficiency, light weighting and performance, which should be no surprise to any of you. We are very confident that our engineering initiatives such as the development of our next-generation AAM EcoTrac, our disconnecting all-wheel-drive system and our EAM electrification strategies will further strengthen AAM's position as a driveline technology leader on a global scale in the coming years. Before I turn it over to Mike, let me wrap up and make a few closing remarks regarding our outlook for 2015 and beyond. With respect to AAM's 2015 outlook, let me simply say and state that our outlook is unchanged. We're targeting full year sales in 2015 in excess of $4 billion. We continue to target full year 2015 EBITDA margin in the range of 13.75% to 14% of sales. And as all of you know, calendar year 2014 marked an inflection point in AAM's free cash flow generation. And in 2015, we expect to build on that momentum and generate between $175 million to $200 million of positive free cash flow. AAM's 2015 outlook is based on the anticipated launch schedule of the programs in our backlog as well as the assumption of a U.S. light vehicle SAAR of approximately 16.5 million to 17 million units. As to our longer term financial targets, for the period covering 2015 through 2017, we continue to target annual organic sales growth in excess of 5%, EBITDA margins in the range of 13% to 14% of sales and free cash flow in the range of 4% to 5% of sales during this period. As we look to the future, we remain very focused on leveraging our technology leadership to develop innovative new products focused on fuel efficiency, emission reductions and safety, ride and handling performance that supports and addresses our customers' needs and vehicle program requirements, while also staying very laser-focused on delivering on our stable financial business and performance plan. We are focused on advancing AAM sales growth and business diversification efforts through targeted organic growth initiatives. We will continue to emphasize the importance of improving AAM's balance sheet strength by reducing leverage and operating the company with investment grade discipline like we've continued to do in the past. And we'll also look for ways to accelerate AAM sales growth going forward and our diversification efforts through strategic growth initiatives, including M&A, joint venture arrangements or other forms of collaboration and cooperation. We will also continue work to position the company and to consider other stockholder value creation strategies, including reestablishing a dividend policy when appropriate. AAM is focused on building value for all of our stakeholders in our business. All of our actions and strategies are aligned with these critical objectives. So with this, I conclude my comments for this morning. I thank each and every one of you for your time and attention today, and for your vital interest and continued support of AAM. I'll now turn the call over to Mike. Mike?
Michael K. Simonte - Chief Financial Officer & Executive Vice President: Thank you, David, and good morning, everybody. Let me build on what David has already told you about our first quarter results. And I'll start with sales. On a year-over-year basis, sales increased approximately $110 million or 13% in the first quarter of 2015 as compared to the first quarter of 2014. Continuing strength in the North American light truck market was the largest factor powering our sales growth in the quarter. Higher shipments in support of GM's full-sized pickups and SUVs, and also the Ram heavy-duty series pickup trucks accounted for approximately $65 million of the increase on a year-over-year basis. The other major sales growth driver in the quarter was our support of a new global crossover program for General Motors. We launched RDMs or rear drive modules and PTUs or power transfer units for this program the second half of 2014. There is no similar activity in the first quarter of 2014. AAM's content per vehicle is measured as the dollar value of product sales supporting our customers' North American light truck and SUV programs. In the first quarter of 2015, AAM's content per vehicle was $1,676 per unit as compared to $1,655 in the first quarter of 2014. Most of this increase in content per vehicle is attributable to a higher four-wheel drive penetration rate, which rose to 71.4% in the first quarter of 2015 as compared to 67.5% in the first quarter of 2014. As you may recall, GM launched the K2XX SUVs and the Heavy Duty pickups in the first quarter of 2014. The unit volume growth in production, as well as the higher four-wheel drive penetration rate, reflects a full quarter of activity in 2015 as compared to the launch period one year ago. Non-GM sales were up 14% on a year-over-year basis to $329 million, which as David noted, is a new quarterly record for our company. For the full year 2015, we expect non-GM sales to grow faster than our total sales, due principally to the new business launching with FCA, Ford, Jaguar Land Rover, Mercedes-Benz, and Nissan. As we launch these programs during the next several months, we expect non-GM sales to approach and likely exceed a quarterly pace of $350 million in the second half of this year, 2015. Okay. Let's move now to AAM's profitability. Rather than repeating what David has already covered, let me focus on providing both the year-over-year EBITDA walk-down analysis and a sequential EBITDA walk-down analysis of our first quarter 2015 results. GAAP-derived EBITDA, and we define EBITDA as earnings before interest, taxes, depreciation and amortization, GAAP-derived EBITDA increased by $25 million in the first quarter of 2015 to $137.5 million. That's 14.2% of sales and that compares to $112.5 million in the first quarter of 2014 and that was 13.1% of sales. The contribution margin we earned on higher sales, recall I mentioned that sales increased $110 million on a year-over-year basis, this was the primary reason why EBITDA grew by $25 million in the quarter. Other significant comparison points a year-over-year basis include the following. Launch preparation costs, including project expense and research and development, were not materially different in the first quarter of 2015 as compared to the first quarter of 2014 on a collective basis. Operating efficiency was much better in 2015, as our driveline assembly operations benefited from higher capacity utilization and post-launch stability. Productivity gains related to these improvements were partially offset by higher SG&A spending, and this included IT-related costs, including those related to our ERP system upgrade, and also the cost of higher staffing levels and compensation. One last point affecting the year-over-year comparison of our first quarter of 2015 results is that, in the first quarter last year, we recognized a $4.1 million gain on the sale of our Detroit manufacturing complex. There was no similar gain in 2015. So let's turn to the sequential analysis. On a sequential basis, GAAP-derived EBITDA increased by $37.9 million to $137.5 million in the first quarter of 2015. That compares to $99.6 million in the fourth quarter of 2014. Now, the fourth quarter had a special charge for our 2014 pension payout offer. We exclude the impact of that special charge, which increased operating expenses by $35.5 million in the fourth quarter of 2014. Our first quarter EBITDA rose by about $2.4 million as compared to the prior quarter. Now, this is the proper progression I will explain in the sequential EBITDA walk-down analysis. As compared to the fourth quarter of 2014, AAM sales grew by approximately $30 million and again, that was $969.1 million in the first quarter of 2015. We estimate the contribution margin on this sequential increase in sales to be approximately $8 million. The favorable impact of sequentially higher production volumes in the first quarter was offset by two issues. The first was a reduction in the amount of mark-to-mark foreign exchange remeasurement gains we recorded in the first quarter of 2015 as compared to the fourth quarter of 2014. And the second item was higher warranty expense accruals in the first quarter of 2015. Now, let me explain the foreign exchange issue in a little further detail. In Mexico, our operations are U.S. dollar functional for accounting purposes, but have a significant net peso liability position on the balance sheet. In the fourth quarter of 2014, we recorded foreign exchange remeasurement gains of $6.7 million related to this position, as the peso-U.S. dollar exchange rate grew to MXN 14.72 at year-end. As you recall, foreign exchange remeasurement gains and losses are non-cash transactions, but they do increase or decrease other income in every period based on changes in the exchange rate at quarter-end, and the last few quarters have been somewhat volatile. In the first quarter of 2015, the U.S. dollar continued to strengthen relative to the peso, not at the same pace as the fourth quarter, but still strengthened. In accordance with GAAP, we recorded approximately $2 million of foreign exchange remeasurement gains in the first quarter of 2015. These gains are classified as other income on the income statement. The balance of the other income is the joint venture profit contributions we receive from the Hefei, China joint venture. While still favorable, the foreign exchange remeasurement gains were almost $5 million less than that which we recorded in the previous quarter, so that's really the significant offset to the contribution margin gains that we picked up in the first quarter of 2015 as compared to the fourth quarter of 2014. All right. Before reviewing our cash flow results, let me quickly cover interest and taxes, starting with interest. Net interest expense in the first quarter of 2015 was $24.3 million, approximately $400,000 lower than the first quarter of 2014. The weighted average interest rate of our debt capital structure at the end of the first quarter of 2015 was substantially unchanged from year-ago levels. So really it's going to be our net debt levels and our gross debt levels that drive interest expense going forward and we would expect interest expense to trend lower as we move forward. And finally, taxes. Income tax expense was $9.2 million in the first quarter of 2015 as compared to $7 million in the first quarter of 2014. The effective income tax rate was 14.8% in the first quarter of 2015, down from 17.3% in the first quarter of last year. In the first quarter this year, our tax provision included a $1 million discrete item benefit related to audit settlements closed in the quarter. If we exclude the impact of the audit settlements, which were favorable to the company, AAM's adjusted first quarter effective tax rate was approximately 16.3%. And really, both the 15% rate and the 16% rate were right in line with our full year 2015 guidance range of approximately 15% to 20%. Let's move on to cash flow. We define free cash flow to be net cash provided by or used in operating activities, less CapEx net of proceeds received from the sale of equipment. GAAP cash generated by operating activities in the first quarter of 2015 was $6.4 million. Capital spending, net of proceeds from the sale of property, plant and equipment, was approximately $43.5 million in the first quarter of 2015. Reflecting this operating activity in CapEx, our cash flow in the first quarter of 2015 was a use of approximately $37.1 million. It is not unusual for an auto supplier to use cash in the first quarter due to seasonal working capital trend, and that's clearly been our experience. In fact, over the past three years, AAM has averaged a first quarter free cash flow use in excess of $90 million. The improvement in our first quarter cash flow results is consistent with the higher overall free cash flow expectations we have for our business in 2015 and also reflects favorable working capital trend in this first quarter of 2015. Okay. Let me touch on a couple of balance sheet issues. At March 31, 2015, EBITDA leverage or the ratio of EBITDA-to-net debt improved to slightly less than 2.5 times. EBIT coverage, or the ratio of EBIT-to-net interest expense, improved to 3.4 times at the end of the first quarter. Both of these credit metrics are calculated on a trailing 12-month basis and are adjusted to exclude the impact of that pension payout offer special item in the fourth quarter of 2014. And you can expect to see steady improvement in our leverage profile as we work our way through this calendar year 2015 and track to a EBITDA leverage ratio of approximately 2 times by the end of the year. All right. Before we start the Q&A, let me add this quick comment on our 2015 outlook. David has told you already today that we reaffirmed our 2015 earnings and cash flow guidance today. I have nothing significant to add on that matter, except to reiterate that we are confident in our ability to deliver those results. Our confidence stems from the fact that we are already performing at the levels implied by our guidance. On a trailing 12-month basis, through the end of the first quarter of 2015, our sales have increased by 15% to $3.8 billion, and we are on track to achieve $4 billion for the full calendar year 2015. Now over the same trailing 12-months' time period, AAM has generated adjusted EBITDA of $537 million or 14.1% of sales, and positive free cash flow has been $181.4 million over the last 12 months. By the way, the only adjustment to EBITDA in the trailing 12-months' time period was the add-back for the $35.5 million charge in the fourth quarter related to the pension payout offer. So are we confident that we can deliver our 2015 guidance? Yes. Yes, we are. That will end my prepared comments this morning. Thank you for your time and participation on the call. We do have some time for Q&A this morning, so I'm going to turn it back over to Chris, and we'll take your questions.
Christopher M. Son - Director Investor Relations, Corporate Communications & Marketing: Great. Thank you, Mike, and thank you, David. We've reserved some time for some questions, as Mike said. So, at this time, I'm going to turn it over to Victoria for her to compile the Q&A roster so we can start the Q&A period.
Operator: Certainly. Your first question comes from the line of Itay Michaeli with Citi.
Itay Michaeli - Citigroup Global Markets, Inc. (Broker): Great. Thanks. Good morning, everyone, and congrats.
Michael K. Simonte - Chief Financial Officer & Executive Vice President: Good morning, Itay.
Itay Michaeli - Citigroup Global Markets, Inc. (Broker): Just (27:04) question first, Mike, on the outlook. I think if we look at your Q1 revenue historically, I think it tends to roughly be around 23%, 24% of the full year, which would imply maybe you are running at the high end, maybe even a little above the high end of the range. I know it's early in the year. Can you maybe just comment about that? I mean, should we think about the high end maybe as more likely at this point? Or are there some timing, seasonality, maybe Brazil issues, that might be out there that would be – make that premature?
Michael K. Simonte - Chief Financial Officer & Executive Vice President: Yeah, Itay, relative to the full year sales outlook, I think our first quarter tracked very close, in fact, within $2 million of our budget for this time period, so things are on track the way we look at it to achieve our outlook. The one issue that we're facing, lesser issue for our company, but still out there, is the foreign exchange translation that we see Brazil being the largest headwind from that standpoint, but there are some other locations where the U.S. dollar exchange rate has strengthened. And so we do face in the area of a $40 million to $50 million headwind associated with that. So the strength of the North American light truck market, in particular the K2XX program and the Ram program, is going to dictate where we end up in that range of $4 billion to $4.1 billion. I think at this point, Itay, I would say it's relatively balanced in terms of where we expect to end up in that range. We might be a little bit more bullish if it were not for the strength in the dollar.
Itay Michaeli - Citigroup Global Markets, Inc. (Broker): That's very helpful, Mike. And then speaking of the strength in North America, during the quarter, we saw some headlines around GM potentially looking to increase capacity to Arlington. If that were to happen, could you remind us of what your capability, your max capacity is for K2XX, how much more you'd be able to absorb? And do you see any potential bottlenecks around the supply chain away from American Axle? Just love to get your thoughts on that.
David C. Dauch - Chairman, President & Chief Executive Officer: Itay, this is David. As we've told you before, I mean, we've had installed capacity of about 1.2 million units on a straight-time basis. When you factor in incremental capacity above and beyond that of roughly 15%, we can cover any changes or additions that GM may put in the schedule. That was what I was alluding to earlier is that over the past couple of years we worked very closely with all of our customers, in this case, GM, to make sure that we've got our capacity aligned, not only with them on a total program basis and mix basis, but also with respect to what the current market demand is. So we feel very confident that if they put the additional requirements in the schedule that we'll be able to support them without issue. Now with that being said, I can't speak to the rest of the supply base regarding that, but I know that American Axle will be ready.
Itay Michaeli - Citigroup Global Markets, Inc. (Broker): Great. That's good to hear. And then just lastly, maybe for Mike, I think CapEx as a percentage of sales was really 4.5% this quarter, a little bit light versus the full year. Does that ramp up or is there potential that you might be coming a little bit below the CapEx guide for the year?
Michael K. Simonte - Chief Financial Officer & Executive Vice President: Yeah, Itay, thanks for raising this question related to CapEx. I was thinking about adding something to my script and just forgot. I do expect that CapEx in this first quarter will be lighter than we see as a run rate for the rest of the year. We had some normal timing issues relating to the period of launch. There's nothing out of the ordinary other than that, and we still stand by our CapEx estimates for the year around 5% of sales. So, yes, I expect our CapEx run rate to trend up as we work our way through the year.
Itay Michaeli - Citigroup Global Markets, Inc. (Broker): Great. Thanks so much, everyone.
David C. Dauch - Chairman, President & Chief Executive Officer: Thanks, Itay.
Operator: Your next question comes from the line of John Murphy with Bank of America Merrill Lynch.
John J. Murphy - Bank of America Merrill Lynch: Good morning, guys.
David C. Dauch - Chairman, President & Chief Executive Officer: Good morning, John.
Michael K. Simonte - Chief Financial Officer & Executive Vice President: Good morning.
John J. Murphy - Bank of America Merrill Lynch: If we think about the EBITDA margin in the quarter, obviously, it was very strong at 14.2% and just thinking about it in sort of absolute terms and forget about sequentials or year-over-year. If we look back at the last two years, the first quarter has been the lowest quarter for EBITDA margin, and if we think about sort of what's going on seasonally through the course of the year, there's no reason to believe that it should necessarily be the strongest quarter in the year. So as we think about the future three quarters this year, what's the reason that you think that there might be a deterioration in EBITDA margin? And is the new non-GM programs coming on that are running a little bit lighter? Or just trust trying to understand, because it seems like you're being pretty conservative on that margin now.
Michael K. Simonte - Chief Financial Officer & Executive Vice President: Yeah. John, a couple things I would comment on. First is we did have a really solid operating performance in the first quarter of 2014. I mentioned that our budget for sales was right in line with our actuals, but our performance from an operating perspective was well ahead of our budget. So we do see the opportunity for some upside as we work our way through the year, but let me point out a couple things that need to be considered in balance with that issue. The first is that we did have – while lower than the fourth quarter, we did have $2 million of this balance sheet mark-to-market running through our EBITDA in the first quarter of 2015, so that would normalize 14.2% to approximately 14%, which is right in line with our guidance for the year. As it relates to seasonality, I think you touched on a couple critical points. We do expect that as we bring on new programs, our launches this year are a little bit more weighted at least in terms of the starting of the launches to the back half of the year. And so we will have the lower capacity utilization rates on the capacity we're putting in place with those programs. We will experience higher launch costs, in the early days of launch as it relates to excess staffing levels and quality checks, that type of thing. And we do see our SG&A spending ticking up a little bit over the course of the next couple quarters, probably not so much in the fourth quarter, but we have some R&D expenses, particularly product validation, that will increase a little bit over the next couple quarters. So some of those issues might result in the first quarter looking favorable. But as you pointed out, if we can keep our operating performance at the same levels that we had in the first quarter, we think that this year shapes up very well for us.
John J. Murphy - Bank of America Merrill Lynch: That's great. Maybe then just a second question, and Itay kind of touched on this a bit, but what do you think about the rumors around the Arlington plant expansion, $1.3 billion? I mean, it sounds like there's something going on down there, whether it's confirmed or not yet. If GM were to theoretically expand capacity on the K2XX, whether it be on the pickup or the SUV side, and they came to you and asked for increased capacity and you'd have to put capital to work, how does that agreement work right now? I mean, would they be sharing in that capacity expansion, or the cost of that capacity expansion for you? I mean, I'm just trying to understand what your commitment is currently with GM and how that would work if that came to pass.
David C. Dauch - Chairman, President & Chief Executive Officer: Yeah, John, as I mentioned, we've got installed capacity on straight-time of about 1.2 million units with ability to flex up based on an MCR type level of about 15% incremental to that. So we just have to understand what GM's vehicle assembly capacity – capability is. If they're increasing that going forward, we'll have to balance that against our installed capacity today. If there's incremental investment required to support those changes, then we'll have those negotiations with GM with respect to responsibility for some of that capital and the timing associated with that, but that's a great problem, or a great opportunity, and that's how we're going to look at it. So we're not knowledgeable of any of the changes, other than some of the things that we've all read in the press in regards to future expansion and an announcement of Arlington, but without any details associated with it at this time. So we'll work closely with our customer, in this case, GM, to address that matter when it becomes public and then when they share that with us.
Michael K. Simonte - Chief Financial Officer & Executive Vice President: Hey, John, the other thing I would add – this is Mike. As David pointed out, 1.2 million units is our straight-time capacity. We do have flex capacity up to about 15% higher. Not all of that is mix aligned with GM's desire to build more SUVs, but much of our capacity would be relatively easily transferrable. So this issue is clearly more upside than risk to our company.
John J. Murphy - Bank of America Merrill Lynch: Got you. And then just lastly, you alluded to higher accruals for warranty in the first quarter. I'm just wondering what was going on there and if that's something we should expect going forward and how much higher those warranty accruals were.
Michael K. Simonte - Chief Financial Officer & Executive Vice President: Yeah, John, we did plan and budget and build into our guidance for this year higher warranty accruals, and this is nothing more than the application of existing agreements to our business. In certain of our warranty arrangements with our customers, we have a period of time at the beginning of the program, in the first year to two years of launch where we have lesser warranty obligations than as the program matures. And so as we step into significant launch activity, 2013, 2014 and 2015, our warranty obligations increase. And keep in mind that back in 2009, with respect to General Motors anyway, we did normalize warranty terms and conditions. Back at that point in time, we were not responsible for warranty in the same manner as other suppliers due to the way the company was bought and sold in 1994. That's since been changed. And so we will expect to see higher warranty expense going forward. There were no specific concerns or material issues related to a particular program. These are sort of the accruals that you set aside, hope you never have to pay, but based on estimates of what the industry bears, based on our own experience with our customers, it's appropriate under GAAP to make those accruals.
John J. Murphy - Bank of America Merrill Lynch: Thank you very much. Great quarter, guys.
Michael K. Simonte - Chief Financial Officer & Executive Vice President: Okay.
David C. Dauch - Chairman, President & Chief Executive Officer: Thanks, John.
Operator: Our next question comes from the line of Rod Lache with Deutsche Bank.
Rod A. Lache - Deutsche Bank Securities, Inc.: Good morning, everybody. I have a couple questions.
Michael K. Simonte - Chief Financial Officer & Executive Vice President: Hey, Rod.
Rod A. Lache - Deutsche Bank Securities, Inc.: First, could you maybe give us some magnitude of the launches second half versus the first half? You said it's a little more back-half weighted.
Michael K. Simonte - Chief Financial Officer & Executive Vice President: Yeah. Rod, I think you'll see beginning in the second quarter and certainly more in the third and fourth quarter that our sales will pick up as it relates to launch. We're probably in the neighborhood of two-thirds new business activity in the back half of the year, somewhere between 60% – call it 60% maybe back half of the year. But it's really the fact that the new business contributions we have in the first quarter relate to programs that launched last year. And so the launch activity that we have in the second half of the year will be early days of launch as opposed to second, third, fourth quarter of launch.
Rod A. Lache - Deutsche Bank Securities, Inc.: Okay. And just on these questions, just the thoughts on GM's ability to flex production higher, these investments that we're seeing GM announcing, at least to our knowledge, they don't seem to be associated with near-term capacity, they're more related to the T1 project. Does that sound right to you?
David C. Dauch - Chairman, President & Chief Executive Officer: Rod, all I'd say is yeah, I think GM's doing everything possible to maximize their output out of their existing infrastructure today in regard to the K2XX. Clearly, the market's received their product extremely well; not only the pickup trucks, the light duty and heavy duty, but especially the SUV. As Mike indicated earlier, Arlington is the sole SUV facility. So, therefore, there's a major backlog or demand for that product right now. How quickly they can get that onboard is something that's still TBD. But as I indicated, they're going to do everything they can to flex their capacity. And we'll be prepared to support that.
Rod A. Lache - Deutsche Bank Securities, Inc.: Okay. When do you get some insight into the bidding activity on the next-generation truck? Is that something that you have at this point?
David C. Dauch - Chairman, President & Chief Executive Officer: I mean, we're in discussions with GM with respect to that program and they'll be making some decisions and going through the whole quotation process this year, and so it'll probably be the latter half of the year before we get any final direction on that program.
Rod A. Lache - Deutsche Bank Securities, Inc.: Okay. And then just lastly if you could maybe just touch on reminding us how raw materials affect your numbers? And also, now that leverage is coming down, and it sounds like you have a lot of comfort with the free cash flow, any update on acquisitions and just the general expectation that you have about identifying and closing in on something external?
David C. Dauch - Chairman, President & Chief Executive Officer: Just from a capital standpoint as we've said here before, we're going to continue to focus on organic growth, but we're going to be much more selective in regards to the targeted organic growth opportunities we're going to go after. Clearly, we're focusing on strengthening the balance sheet and lowering our debt levels, and that's been the focus the last several years, those two items I just mentioned. And then as you indicated, we are looking at inorganic or strategic growth opportunities, nothing to announce today, but we're actively looking, not only in the core businesses that we operate in today, but other things that could be complementary or vertically integrated and support our business. And then last but not least, as we said is that we'll evaluate those things for our shareholder, whether we introduce a dividend at the appropriate time, I mean that's something that we'll contemplate. But from a strategic standpoint, again, as we said to you guys, we're going to be shifting some of our focus, which was heavily concentrated on the organic side to more of a balance between the organic and the strategic side.
Rod A. Lache - Deutsche Bank Securities, Inc.: And the raw materials?
Michael K. Simonte - Chief Financial Officer & Executive Vice President: Hey, Rod, I'll address that. Raw materials this year for us we expect to be relatively flat, maybe modest levels of inflation versus year ago levels. And keep in mind that the volatility of this issue is mitigated significantly by the fact that the metal market-based inputs to our cost structure are passed through to our customer primarily. So the good news is that the capacity constraints that we saw in certain commodities, certain types of components we need to deliver our products to our customers, they seem to be receding. And because there's not a lot of pressure, in fact in some cases there is input cost reductions right now, our supply base seems to be pretty healthy all in all, and so there's not a significant amount of cost increases that are affecting the business. In markets such as Brazil, that's really a different case where there is significant inflationary pressure right now, but in terms of the markets that really matter for our business and the markets that really move the needle, there's no significant cost pressures that we see for 2015.
Rod A. Lache - Deutsche Bank Securities, Inc.: Okay. Great. Thank you.
David C. Dauch - Chairman, President & Chief Executive Officer: Yeah. Thanks, Rod.
Operator: Your next question comes from the line of Brian Johnson with Barclays.
Brian Arthur Johnson - Barclays Capital, Inc.: Yes. Good morning, gentlemen.
Michael K. Simonte - Chief Financial Officer & Executive Vice President: Good morning, Brian.
Brian Arthur Johnson - Barclays Capital, Inc.: I just want to kind of follow up, just to – you've talked about the excess capacity that's fungible that could support an expansion of your primary customer's product line and hence, demand (42:47). Just a couple of clarifications on that. Are you saying when you measure that that there's actually tooling and machinery that is in the system that could be put to use? Or would there be additional CapEx for PP&E that you would require?
David C. Dauch - Chairman, President & Chief Executive Officer: Yeah. Brian, the answer to that is both. Clearly, we're going to leverage and exercise the capacity and the tooling and the machine that we have installed today first and foremost. If GM decides to change their scheduled requirements going forward, and increase that capacity beyond that and if incremental capacity is required, then we will look to bring that capacity on-line. Clearly, there's a timing associated with doing that, and we'd also just need to make sure that our supply base is capable of supporting that moving forward. But the critical thing to note is we've established standardized and comp designs and processes and we'd make sure that our operations are flexible and we'll adjust with the mix and we'll adjust with the changing requirements and the total program, if required.
Brian Arthur Johnson - Barclays Capital, Inc.: Any way to bound what that could potentially mean for 2016 CapEx?
David C. Dauch - Chairman, President & Chief Executive Officer: Right now, we're just operating to the releases that are there. If GM decides to go beyond that, then we will have to decide what that means. Right now we don't have enough clarity to give you any feedback.
Brian Arthur Johnson - Barclays Capital, Inc.: Okay. And related, I assume when you say excess capacity you mean excess on machine capacity. You don't have staff capacity in excess, so you would need to modestly staff up, or could you just vary shifts? Or how would that work down in what I presume would be (44:22)?
David C. Dauch - Chairman, President & Chief Executive Officer: Well, as I mentioned to you, we'll leverage our existing infrastructure including the manpower side of things, not only just the machinery, but the manpower. But if there is incremental requirements for both the manpower and the machinery, then we will look at adjusting that accordingly. But we'll do it in line with the volume requirements and making sure there's consistency to those volume requirements. But we do this every day. Adjust our schedules accordingly to our customer requirements, in this case, like I said, GM. But we just need to get a little bit more clarity in regards to what their future requirements may need to be.
Brian Arthur Johnson - Barclays Capital, Inc.: Great. And second question, thinking about in particular the sequential quarterly incremental margin, how is it tracking between sequential on K2XX, which is a one big program, and sequential on the variety of programs that make up the 37% non-GM and then if you include non-K2XX GM, the large part of your business that isn't K2XX, where I assume the operating challenges are more diverse?
Michael K. Simonte - Chief Financial Officer & Executive Vice President: Yeah. Brian, I guess I would say this. The major offsets to the contribution margin we earned on higher sales in the first quarter were not related to the K2XX program other than to the extent we had some higher warranty accruals. Big picture, K2XX program ran very well. The big houses at Guanajuato and Three Rivers were run exceptionally well in many regards, and I would tell you that those facilities are not only running the K2XX, they run many other programs. They did well. We had pretty much an across the board beat, our forging operations beat their budget, and many of our other foreign operations – while they may have suffered some sales declines or foreign exchange translation headwinds, their labor and overhead performance was pretty solid. So I would tell you there was no significant differences across the portfolio, but obviously the one that – the couple that matter the most, the big truck programs, they ran well and so did our total business.
Brian Arthur Johnson - Barclays Capital, Inc.: Should we be thinking about roughly the same kind of incremental margins on K2XX versus non-K2XX business?
Michael K. Simonte - Chief Financial Officer & Executive Vice President: No. No. No. As we've said many times before, the contribution margins on the large truck programs are higher than the contribution margins on the other business. So we're north of 25% on the major North American light truck programs, and we're closer to 20% on many of the other passenger truck programs we run where the material margins are higher.
Brian Arthur Johnson - Barclays Capital, Inc.: Okay. But it sounds...
Michael K. Simonte - Chief Financial Officer & Executive Vice President: Our material margins are lower, but the material input cost is higher is what I meant.
Brian Arthur Johnson - Barclays Capital, Inc.: Okay. And so maybe it's more compared to some when you're more in the learning stage on those programs where there's some volatility around operating results. You're feeling fairly comfortable that your passenger car programs are running very smoothly?
Michael K. Simonte - Chief Financial Officer & Executive Vice President: I think you just hit on the key issue. Both David in his comments and my comments, we hit on the fact of post launch stability. There's been a lot of volatility in the operating requirements over the last couple of years, a lot of mixed changes and things that we've had to do to adapt on the run. General Motors has done a good job of clarifying those requirements, we've done a good job and so have other elements of the supply chain adapting to those market demands, and we had an excellent quarter of stability and performance across the entire supply chain, not just our company, but all the other companies that are key to making that program work.
Brian Arthur Johnson - Barclays Capital, Inc.: Okay. So sort of to some points we've been making, there's worse things in life than having a plateau of around $17 million that doesn't go up or down very dramatically.
Michael K. Simonte - Chief Financial Officer & Executive Vice President: Well, Brian, in our case that is a bullish scenario because we can harvest cash, we can pay down debt, we can reward our shareholders. And that's going to generate the cash we need to accelerate our growth and diversification. So I would describe that in a much different manner than not so bad.
Brian Arthur Johnson - Barclays Capital, Inc.: Okay. Great. Thanks.
David C. Dauch - Chairman, President & Chief Executive Officer: Thanks, Brian.
Operator: Your next question comes from the line of Joseph Spak with RBC Capital Markets.
Ritapa Ray - RBC Capital Markets LLC: Hi. This is Ritapa Ray on for Joseph Spak. I was wondering, how does China fit into overall strategic plans? And how are you forecasting growth in the region over the next few years? And secondly, what are the puts and takes that we should be thinking about in cash flow for the rest of the year?
David C. Dauch - Chairman, President & Chief Executive Officer: Well, let me address your first question in regards to China. China is an integral part of our business today, and a growing part of our business in the future. It's very, very important to us with respect to the opportunities that are in front of us. We're going to see nothing but growth for American Axle within the Asian corridor, especially China. And that's not only on our truck activity but more importantly on our passenger car activity and through our joint venture with JAC. So we're very, very favorable and positive towards China, even though the overall market is slowing down a little bit, our products are being received very favorably there. And like I said, we only see positive growth going forward. On the cash flow side of things, as we said to you, we've guided at $175 million to $200 million for the year. We're consistent in regards to maintaining that guidance, and we expect to deliver that range this year. And again, last year was an inflection point for us in that respect. And as we continue to improve our operations, hopefully we can continue to strengthen the overall margins and cash flow generation.
Ritapa Ray - RBC Capital Markets LLC: Thank you so much.
David C. Dauch - Chairman, President & Chief Executive Officer: Thank you.
Operator: Your next question comes from the line of Ryan Brinkman with JPMorgan.
Ryan J. Brinkman - JPMorgan Securities LLC: Hey, thanks for taking my call. Just looking at...
David C. Dauch - Chairman, President & Chief Executive Officer: Good morning.
Ryan J. Brinkman - JPMorgan Securities LLC: Good morning. I'm just looking at your incremental EBITDA margin in the quarter. It looks like about 23%. And you gave John Murphy some of the reasons why impacting the year ago results like the balance sheet mark-to-market. So I understand you can't just take this incremental and apply it to the full year revenue rise. That'd be about $590 million of EBITDA at the midpoint, too high. But can you talk about the 23% in the quarter? I mean, that was fairly clean, right? And maybe talk about how that compared to your expectations. And then, whether at a minimum at least suggests that you're on track to maybe end up in the higher end of the EBITDA range for the year?
Michael K. Simonte - Chief Financial Officer & Executive Vice President: Yeah. Ryan, from our perspective we would describe that contribution margin or profit conversion as relatively clean. The only two major factors that really enter into the walk from a year ago level is the contribution margin earned on the higher sales which came in a little better than 25%. And then, when you look at the fact that the quarter a year ago had a one-time gain of some magnitude, $4 million on the sale of the DMC. The other costs were relatively imbalanced. Launch preparation costs as I mentioned were relatively consistent, meaning that the costs of project expense and R&D and other launch costs were relatively similar. Our production performance we commented now on a few questions, our operating efficiencies were better and fairly significantly better, though we did have some higher warranty expense obligations and our SG&A went up. And SG&A went up in line with our expectations. We were actually short of our budget by a couple million dollars in the quarter, but we were higher than year ago levels. We've increased staffing levels where we think we can take advantage of opportunities to grow our business. We do incur wage inflation and that alone accounts for $5 million to $7 million of increased year-over-year if you would count also healthcare inflation. We continue to work on our Oracle ERP upgrade. The cost increase relative to that's relatively modest, just a little bit more than a million dollars, but all these relatively small items add up and do offset that profit conversion a little bit. But what I would tell you is that, all that is consistent with the guidance and the planning that we had for this year. There were no significant variances in the quarter that persuade us from being confident in our ability to deliver what we said.
Ryan J. Brinkman - JPMorgan Securities LLC: Okay. That's great color. And then, my last question is just about Brazil and the latest that you're seeing down there. How are your customers, your key ones, BW and GM, I think are performing relative to the industry, and then just your general thoughts on the market and the currency? And I guess one benefit, if you want to call that from the lower – from the industry downturn, is that your revenue exposure there will be less going forward? I was hoping maybe just update us to on what current exposure is to Brazil and LatAm?
David C. Dauch - Chairman, President & Chief Executive Officer: No, I mean, first and foremost, everyone understands Brazil market is way down right now. At the same time there's significant foreign exchange issues going on in Brazil. We're addressing all those matters with our customers. We've gotten relief with many customers, but not all customers at this point in time. We've had to adjust our market to the new market demand or I should say our business to the new market demand. We've done that through some manpower adjustments and just adjusting our operations to meet the customer's schedule requirements. I don't see any relief in the near sight, but at the same time we've got a solid management team that's in place that's addressing the issues to make sure that we can have a viable and sustainable business there. And you guys understand some of the challenges we had in Brazil a couple of years ago. As we've already communicated to you, we've overcome those challenges. Now, we've got the new economic challenges that we as a management team are having to work our way through, and we're managing those quite well, I'd say. So, Mike, I don't know if you want to comment anything else.
Michael K. Simonte - Chief Financial Officer & Executive Vice President: Well, the only thing I'll add maybe, Ryan, is to the second half of your question. You recall a couple of years ago this is a $200 million business, weakened a little bit last year based on some lower volumes. As we look now with the adjustment for foreign exchange translation, we're in the $150 million area. It could be a little lighter than that this year depending on where volumes end up, but generally speaking, we went from sort of a $200 million business to $150 million exposure to this market.
Ryan J. Brinkman - JPMorgan Securities LLC: Okay. Very helpful. Thank you.
David C. Dauch - Chairman, President & Chief Executive Officer: Thank you.
Operator: The next question comes from the line of Matt Stover with Susquehanna.
Matthew Stover - Susquehanna Financial Group LLLP: The question's been answered. Thank you.
David C. Dauch - Chairman, President & Chief Executive Officer: Okay. Thanks, Matt.
Michael K. Simonte - Chief Financial Officer & Executive Vice President: Thanks, Matt.
Operator: Our next question comes from the line of Dan Galves with Credit Suisse.
Daniel V. Galves - Credit Suisse Securities (USA) LLC (Broker): Hey, good morning. Thanks. Most of my questions have been answered, too. I thought maybe you could just give us a quick update on the Thailand business. And I was just curious if Europe is a region that you guys would potentially look to get bigger in at this point and whether that could be done through just new business or would need to be through acquisitions?
David C. Dauch - Chairman, President & Chief Executive Officer: I'll start with the second question first in regards to Europe. I mean, Europe only represents about 3% of our overall sales today. We're clearly growing right now from an organic standpoint in Europe. We'll continue to grow based on opportunities that are presenting themselves there across various product lines that we offer. But, also we'll look at inorganic or strategic growth in Europe to grow our overall business and our presence there. Again, all on the effort of diversifying our customer, our products and our geographic footprint. With respect to Thailand, clearly you understand the Thailand market's been down. We've, again, adjusted our business accordingly to what we need to do. More importantly for us, what's exciting for us is launching this new Ford program, our first ever drive-by contract with them. That launches this year, and our team is absolutely ready for that launch.
Daniel V. Galves - Credit Suisse Securities (USA) LLC (Broker): Got it. And is that new program, is that within kind of the existing footprint of your business? And from that perspective, could it lead to pretty strong contribution margins initially?
David C. Dauch - Chairman, President & Chief Executive Officer: Yeah. The answer is, yes. It operates within the existing footprint and structure. We've had to make a few capital investments to support the requirements, but minimal. And we should see decent returns on that investment.
Daniel V. Galves - Credit Suisse Securities (USA) LLC (Broker): Great. Thanks, guys.
Operator: And your final question comes from the line of Ravi Shanker with Morgan Stanley.
Ravi Shanker - Morgan Stanley & Co. LLC: Thanks. Good morning, everyone. Thanks for squeezing me in. A few follow-ups here. First, I am sorry I missed this, but did you quantify the FX transaction benefit that you got in the quarter from Mexico?
Michael K. Simonte - Chief Financial Officer & Executive Vice President: So, Ravi, the foreign exchange benefit that we quantified is the mark-to-market remeasurement gain on the balance sheet. That was about $2 million in the first quarter of 2015, down from $6.7 million a year ago level or sequentially last quarter.
Ravi Shanker - Morgan Stanley & Co. LLC: Right. But, rather than the balance sheet, I mean there should've been like a gross margin bump from that as well, right?
Michael K. Simonte - Chief Financial Officer & Executive Vice President: Well, that's right. The other way that the currency benefits the company, this currency move relative to the U.S. peso is that, to the extent we're being paid in dollars and we had some portions of our expenses in pesos, that benefits us, I'm not sure – are you talking annual or sequential? I mean, we...
Ravi Shanker - Morgan Stanley & Co. LLC: Just in the quarter.
Michael K. Simonte - Chief Financial Officer & Executive Vice President: I know...
Ravi Shanker - Morgan Stanley & Co. LLC: In the quarter, year-on-year, yes, year-on-year.
Michael K. Simonte - Chief Financial Officer & Executive Vice President: Year-over-year?
Ravi Shanker - Morgan Stanley & Co. LLC: Yes.
Michael K. Simonte - Chief Financial Officer & Executive Vice President: We're probably in the neighborhood of $4 million benefit.
Ravi Shanker - Morgan Stanley & Co. LLC: Got it. Very helpful. Second question is on the disconnecting all-wheel drive system, forgive me if I missed this, but do you have any customers other than Chrysler signed up?
David C. Dauch - Chairman, President & Chief Executive Officer: Right now all the derivatives or programs are through Chrysler at this time. But we do have other ones that are backlogged that we'll be launching going forward here.
Ravi Shanker - Morgan Stanley & Co. LLC: Any you can identify?
David C. Dauch - Chairman, President & Chief Executive Officer: No.
Ravi Shanker - Morgan Stanley & Co. LLC: Okay. Got it. Third, on the CPV, you guys just kind of settled into a pretty high level right now. But the CPV year-on-year increase of 1% was the smallest of the K2XX era. Do you think we kind of plateau all of these levels? Or do you think there's still room for that to go up?
Michael K. Simonte - Chief Financial Officer & Executive Vice President: Yeah. Ravi, absolutely. We think it's going to flatten out around these levels. The program is fully launched. Really the last quarter where we had any substantial increase in activity is this quarter as the SUVs and heavy-duty pickup trucks launched a year ago. So relative to that we don't expect any significant changes. Seasonal changes in forward drive penetration, that type of thing could have some impacts. But they should be relatively modest.
Ravi Shanker - Morgan Stanley & Co. LLC: Understood. And just lastly, there was mention of the K3XX program on this call, to the extent that you know reasonable amount of that program so far, do you expect the SUV portion of the program to be the same size as the K2XX?
David C. Dauch - Chairman, President & Chief Executive Officer: Ravi, we're not in a position to comment on that at this time. I mean, you need to have any discussion with GM regarding that matter. But we're not at liberty to speak on that.
Ravi Shanker - Morgan Stanley & Co. LLC: Sure, no problem. Thank you taking my questions.
Christopher M. Son - Director Investor Relations, Corporate Communications & Marketing: Great. Thanks, Ravi, and we thank all of you who have participated on this call and appreciate your interest in AAM. We look forward to talking with you in the future.